Ann-Sofie Nordh: Greetings to you all and nice to connect again as I welcome you to the presentation of ABB’s Second Quarter Results. For those of you who don’t know me, I’m Ann-Sofie Nordh, Head of Investor Relations; and next to me here is our CEO, Bjorn Rosengren; and our CFO, Timo Ihamuotila. They will take you through the presentation before we open up for the questions later on. But before we begin, I should mention the information regarding the safe harbor notices and our use of non-GAAP measures on Slide 2 of the presentation. Also, this call will include forward-looking statements, which are based on the company’s current expectations and certain assumptions and are therefore subject to risks and uncertainties. And now with that said, I hand you over to Bjorn to kick off the presentation.
Björn Klas Rosengren: Thank you, Ansi, and a warm welcome from me as well. In my view, the second quarter is a strong delivery from us, and I’m pleased with the outcome. I especially want to mention the comparable order growth of 2%. This is an improvement from the already high level last year, and I’m pleased that we achieved yet another quarter with a positive book-to-bill. I will talk about the drivers in the coming slides. The supply chain was smooth, and we executed order backlog and reached 17% growth in comparable revenues, and all business areas increased at a double-digit rate. We reached a new record level for both absolute operational EBITDA of $1.4 billion and a margin of 17.5%. And all business areas reported a margin above 15%, a strong achievement in my view. I am pleased for the teams reaching the strong result, supported by focusing on the right markets and customers and successfully working through the ABB Way operating model. We also improved cash flow from last year to $760 million. Timo will talk more in details. But just to put some healthy pressure on you, Timo, I expect to see cash conversion improve in the second half of the year. This will support our cash generation to a good level for 2023. Portfolio optimization continued in the quarter. We closed one deal in the motor business in Motion and announced one small software technology deal, adding smart home energy efficiency technology to Electrification. Just after the end of the second quarter, we closed the divestment of the Power Conversion division in Electrification. This makes the completion of the three divisional exits we first mentioned in 2020. Finally, I want to mention a new innovation by Process Automation. You know that I’m a fan of the marine propulsion business, and this new Dynafin technology will improve propulsion efficiency by 25% and reduce fuel consumption on ships. Dynafin is targeting small to medium-sized vessels, and it will complement our existing market-leading Azipod offering. Now, I want to show you a short video clip on it. [Commercials]
Björn Klas Rosengren: I’m proud about the technology know-how we have in ABB, and this new groundbreaking concept is one good example. Now let’s turn to Page 4 for some more market comments. In the second quarter, we saw the strongest order momentum in the systems and project-related offering. This is often linked to the medium voltage segment. It supports growth in divisions like Distribution Solutions, System Drives and Large Motors and Generators. The healthy momentum in medium voltage more than offset some of the softening in the short-cycle business. Taking a helicopter view on the different segments. I would say that demand increased or remained stable everywhere except for in buildings. Residential construction declined in all regions. And while commercial construction was solid in the U.S., we noted some softness in China and Germany. Comparable orders increased in three out of four business areas. Only robotics and discrete automation declined as customers normalized order pattern. There was also additional sequential impact from customers in China adjusting inventories. In total, I’m pleased that we have achieved a positive book-to-bill ratio of 1.06, and the order backlog is now $21.9 billion. Now let’s turn to Slide 5 and look at the market pattern from a geographical perspective. On this slide, you see that Americas and Europe contributed to comparable order growth. In Americas, all three key markets improved. Europe increased slightly despite decline in two largest markets like Germany and Italy. Asia, Middle East and Africa declined slightly as the broad weakness in China more than offset the strong growth in, for example, India. Now let’s turn to Slide 6 and our earnings outcome. This is my favorite slide this quarter. It shows that we improved our operational EBITA by 25%. It also shows the all-time high margin of 17.5%. And importantly, this was driven by the increase of gross margin to above 35%. Gross margin was up in all four business areas, backed by operational leverage or higher volumes and positive pricing. In total, the pricing impact for the group was a strong 5%. Out of this, about 3% was carryover from last year. Before we move on, let’s look at the corporate and other outcome of minus $143 million. This is the result of corporate cost at the normal level of about $75 million, but a low outcome for e-mobility. We recognize that this is lower than we expected coming into the year. In the quarter, that was inventory-related provision triggered by a shift back to a more focused product strategy and some additional technology investments to secure a continued leading market position. I expect the new management to have improved the operational performance towards the end of the year. On the positive note, it was good to see that orders were up 73%. With that, I hand over to Timo.
Timo Ihamuotila: Thank you, Bjorn, and greetings to everyone also from my side. Let’s then move to Electrification on Slide 7. Electrification was again facing a tough comparison period, but still improved its comparable orders by 3%, with total orders reaching $3.9 billion. This was driven by positive momentum in our systems-related medium-voltage offering. Demand remained firm in most customer segments, and we saw some sizable wins in both data centers and the oil and gas sectors. Just like in the previous quarter, residential construction remained weak across the regions, impacting primarily smart buildings and to some extent, installation products. Commercial construction remained stable in the U.S. market with institutional commercial buildings, such as health care showing resilience. We did, however, start to see some weakness in China and Germany. Now looking at the chart in the middle. Comparable revenues grew strongly by 11%, with volume and price contributing more or less equally to the quarterly revenue growth. The recent consistently positive trend continued and revenues now surpassed $3.7 billion, the highest level in many years. We saw double-digit revenue growth in all divisions, except for in smart buildings and installation products where the higher exposure to residential construction slowed growth. You can also see that the book-to-bill ratio was again above 1, resulting in further increase to the order backlog, which sits now above $7 billion and should continue to support revenue generation through 2023. It’s great to see Electrification’s operational EBITA margin reaching a record high of 21.1%, up by 350 basis points year-on-year, driven by a strong gross margin improvement on the back of operational leverage on higher volumes as well as strong pricing. I want to mention the strong performance improvement in Distribution Solutions, where a strong execution of the order backlog as well as the structural profitability efforts now come through in the numbers. All in all, we are super happy that EL is now having a best-in-class performance. A really good place is to focus on further growing this profitable business. Looking ahead into the third quarter, we currently expect a somewhat lower growth rate in comparable revenues than what we reported in Q2 and the operational EBITA margin to be broadly similar to Q2. Let’s move to Slide 8 and the Motion business area, which again had an excellent execution. Comparable orders grew by 3% from last year’s high level, driven mainly by strong momentum in the systems-related offering with total orders again passing the $2 billion threshold. When looking into the details, one can see that the strongest customer activity was surrounding our medium voltage offering. This triggered a strong order growth in the System Drives and Large Motors and Generators divisions as well as in the tightly-linked Service business. I’m pleased to see the order backlog gross margin in all these divisions is holding strong or improving, which shows we are not only continuing to grow orders but doing so in areas where we are driving value to our customers with our offering. This is good news to compensate for some of the softness in the more short-cycle business. Regionally, orders increased in all three regions on a comparable basis as declines in the U.S. and China were offset by strength in other countries. Revenues were up sharply by 22%, and you can see in the chart in the middle how the strong backlog execution and strong price management now resulted in absolute revenues landing just shy of $2 billion. On another positive note, this was the first quarter that the Motion business area passed the 20% mark with an operational EBITA margin of 20.4%, up by 400 basis points from last year. This was driven by an efficient execution of the higher volumes and previously implemented price increases, which more than offset the negative impacts from higher input costs. Additionally, the margin was somewhat supported by a positive divisional mix due to the strong growth in the Drives business as well as margin improvement in the Large Motors and Generators division that benefited from ongoing self-help measures. Looking ahead into the third quarter, we anticipate a low double-digit growth rate in comparable revenues and somewhat of a sequential softening of the operational EBITA. Then to Slide 9 and Process Automation, where customer activity was high across the segments. The project pipeline in the market remains robust, although the timing of some large orders hampered growth rates in the quarter. Orders came in at $1.7 billion and were up 6% on a comparable basis. Segments to highlight would be the oil & gas segment, where we continue to see good investments in the U.S., but also ports, refining, petrochemicals and energy-related low-carbon segments. Comparable revenues grew by 19% with contribution from all divisions and double-digit growth in all three regions. We’re really happy about Process Automation achieving an operational EBITA margin of 15.4%, representing an improvement of 110 basis points year-on-year. This is even more notable as last year’s margin included some 190-basis points contribution from the now exited Accelleron business. This improvement was driven by most divisions on the back of better project execution and continued benefits from delivering higher volumes from the backlog with improved gross margin. I particularly want to mention Measurement & Analytics, where the operational turnaround has resulted in the division now delivering a margin well above the business area average. Job really well done to the team. Looking at our expectations for the third quarter, we foresee the growth rate for comparable revenue growth to be similar to what was reported in Q2 and a somewhat lower sequential operational EBITA margin, depending on the revenue mix. On Slide 10, we turn to Robotics & Discrete Automation. Let me start with the margin as it is really nice to see that RA has crossed the 15% margin threshold again. Operational EBITA was $141 million and resulted in a margin of 15.3%. This represents an improvement of 710 basis points from the low-level last year, which was hit by missing volumes from the China lockdowns and tight supply chain. We now saw the operational effects from higher production output and strong price management. Let’s then take a look at the orders and revenues. As expected, the order growth declined at a double-digit rate in both divisions as they continue to be hampered by customers normalizing order patterns on the back of shortening delivery lead times. Additionally, some inventory adjustments among customers, particularly in China and mainly related to the Robotics division added further sequential pressure on orders, which resulted in a 22% comparable decline year-on-year. These inventory adjustments in China are expected to persist also into the third quarter. From a customer segment perspective, the Automotive segment remained stable at the high level. However, that was more than offset by declines in other segments, particularly in the Machine Automation and Electronics segments. Revenue execution rebounded and was up 27% on a comparable basis, driven by both volume and price. For the third quarter in 2023, we expect a low single-digit growth rate for comparable revenues and a slight sequential softening of the operational EBITA margin. Moving on to Slide 11, showing the group operational EBITA bridge. The profile is very similar to the last couple of quarters with the earnings improvement driven by strong operational performance. The impact from our strong price execution and leverage on 17% comparable revenue growth more than offsetting the adverse effects from cost inflation. All in all, 25% improvement in operational EBITA with 200 basis points increase in margin. As Bjorn said, the ABB Way operating model is starting to work, and the teams have done a really great job executing their strategic mandates. So big thanks to the ABB teams on achieving this record margin. Now let’s move on to cash flow on Slide 12. Cash flow from operating activities was $760 million, up $378 million from last year, supported by higher earnings and a lower net working capital buildup compared with last year. I acknowledge that the cash conversion could have been a bit better, and we are working to improve it during the second half of the year. So the healthy challenge is accepted. Net working capital increased sequentially, mainly driven by higher receivables triggered by the strong revenue growth as well as slightly higher inventories as we continue to build order backlog. I can assure you that this is a key topic in our business reviews, and I’m confident that we will deliver a strong cash performance this year. And with that, I would hand over to Bjorn to round off this presentation.
Björn Klas Rosengren: Thank you, Timo. Let’s finish off with Slide 13 and some outlook comments. We leave our growth guidance for comparable revenues in 2023 unchanged. But our margin performance in the second quarter was somewhat stronger than we initially anticipated. Consequentially, we feel confident enough to sharpen our margin guidance to above 16%. For the third quarter, we anticipate a low double-digit growth in comparable revenues and operational EBITA margin to be slightly up from the 16.6% we reported in Q3 last year. Now Ansi, let’s move to the question and answers.
A - Ann-Sofie Nordh: Yes. Let’s do so. [Operator Instructions] And with that, I suggest we open up for the first question from the audience. And we start with Gael. Your line should be open I hope. You’re there, Gaell? Maybe, maybe not.
Gael de-Bray: Can you hear me now?
Ann-Sofie Nordh: Now, we can hear you.
Gael de-Bray: Okay. That’s great. I hope you’re all doing very well. Thanks for the time. Look, I have a couple of s, if I may. The first one is, could you help us maybe better understand the magnitude of the weakness in the short-cycle part of the portfolio? If there is any way you could quantify by how much this short cycle businesses went down in the quarter? That’s question number one. And question number two is about the Distribution Solutions business. Could you elaborate a bit more on the turnaround of this segment? I think margins were close to 10% in the second half of last year. Where do you stand now? And do you think the turnaround is essentially completed now? Thanks very much.
Björn Klas Rosengren: Yes. Absolutely, we’ll talk about DS because it’s one of the highlights, I would say, of the quarter, [also of the house]. But let’s start a little bit on the order, and you’ve seen it’s up 2% and when – but it’s – as you can see, the base order is down 6%. And I think it’s quite clear that the driving force in our order book today is related to energy transition, where ABB is doing a good job, a lot of good projects, and we’re seeing good and large investments within this. And that’s what we are benefiting from. And would you like to mention anything else there on the...
Timo Ihamuotila: On the short cycle?
Björn Klas Rosengren: Yes, on the short cycle, maybe on the base orders.
Timo Ihamuotila: Just a little bit on the sort of divisional mix because it’s not like all the divisions which are not part of this, let’s call it, medium voltage trend, which, as Bjorn said, is really, really strong. So on the medium voltage type of divisions, smart – sorry, DS Electrification Service, System Drives, Drive Service, we are seeing kind of like a little over 20% order growth. So that’s kind of like on the other side and very, very healthy actually performance overall. I mean, Bjorn, I’m sure comes back to the DS topic. Then when you look at short cycle, it is really in the divisions which are more impacted by the lower growth in the resi construction, and now, as we said, a little bit in the commercial construction like smart buildings, also in drive products, which is a lot of HVAC, which goes to construction. But then there are like Smart Power. You would think that that is a short cycle as well. That actually is performing well when we look at sort of first half or Q2. So again, it’s a little bit more nuanced than just saying everything would be sort of down.
Björn Klas Rosengren: So let me talk a little bit about DS because I think this is really fun to see. You know that during the second half 2022, we changed the management. So we have a new division president for the division and we did some changes. We moved some of these low voltage switchgear over to Smart Power because Smart Power, all the components are actually ending up into the switch gear. So today, DS is very much focusing on the medium voltage switchgear. And of course, you’ve seen an enormous drive here because of the project. So I think they have got the act together. We’re seeing the margin increase going quite well, really well, actually for this business. And also the – what we say the left, what’s in the low voltage side in North America is improving even if it’s not good enough yet, but it is moving in the right way. But it really drive, DS is really a driver of the strong medium voltage side, which is actually the big infrastructures on the transition. So, well positioned there. Yes, I think that pretty much completes it.
Ann-Sofie Nordh: Okay. We…
Gael de-Bray: What sort of margins are we seeing now for DS?
Björn Klas Rosengren: DS is above 10%. So that is the good. So it’s coming – I mean, we can say that when we look at our medium voltage portfolio that it’s over 15%. And I think that is a good stuff. We see good growth in a good margin business.
Ann-Sofie Nordh: Thank you. We move on to Daniela. Daniela, your line is open.
Daniela Costa: Hi, good morning. Thank you for taking my question. I will keep it to one and ask you actually a follow-up to the comments you gave on Q2. You gave a lot of detail regarding what you saw on short cycle, but trying to understand a little bit better on the guidance and why you didn’t raise the organic sales growth guidance. You’ve clearly have done better now than the 10%. You have 65%, I think, of backlog-to-sales ratio, so high visibility for later and you’re positive on the non-short-cycle part. So can you walk us through what are you factoring in in terms of outlook? How cautious are you being maybe break it in volume and pricing, if there’s any explanation there? Thank you.
Björn Klas Rosengren: No, we expect to continue to see good deliveries. I mean, you see in our order book, it’s very healthy. It’s $21.9 billion. So we will, during the next 12 months, be fully occupied or delivering out from the order book. So yes, we will see good growth also in third and fourth quarter. So I can say that. Yes, we say at least 10%, but at least can be, of course, higher also if things moving out there.
Timo Ihamuotila: Yes. Maybe just add a couple of data points or on the second half overall dynamics. As Bjorn said, we would expect to see revenue growth in Q4 as well and also margin accretion year-on-year on Q4. And then for Q3, we are, as we see the situation now, expecting a positive book-to-bill, which would lead to a positive book-to-bill for the year naturally because we are so far on the year. And then one thing which, of course, impacts revenue is the pricing. And you saw that we had strong pricing. We would expect that carryover to continue, so maybe somewhere 3%, 4% even could be further – latter part of the year.
Ann-Sofie Nordh: Thanks, Daniela. I actually continue on the pricing topic because I had one of those s coming through here online. And the question is how much of your comparable growth was price and volume in Q2?
Björn Klas Rosengren: Yes. I mean it is 5% in the quarter. And three of those is carryover from last year and two of these. So we are quite happy that our businesses are actually keeping up the pricing also during this year.
Timo Ihamuotila: And maybe on the price volume split, so it’s about, if you go sort of dollar numbers, about $380 million, I think is coming from price. So that pretty much covers all the cost increase. And then on volume, we had about $240 million. So the drop-through is actually really, really nice this time in all business areas when we look at the operating leverage.
Ann-Sofie Nordh: And I think it’s nice to add also that out of that 5% price, 3% of it was carryover and...
Timo Ihamuotila: Yes, that’s true. And 2% is actually – I mean from this year, yes.
Ann-Sofie Nordh: Yes. And with that, we move on to take the next question. Sebastian from RBC. Your line is open I hope.
Sebastian Kuenne: I have a question regarding businesses that don’t perform so well. So maybe one comment on the Azipod engine business and generally large engine business. Do you see any restructuring need? Or do you at least face some loan capacity utilization in any of these?
Björn Klas Rosengren: Yes. I can talk a little bit about this on the Azipod, where we now have a fantastic strong market position. But we also had a very strong position for the Azipod in Russia doing many of these so-called LNG icebreaking vessels, which we, of course, taken out of our order book. So, yes, we have a reasonable order backlog in Azipod, but we do expect that as orders are coming now in for cruising ships going forward, but also other special vessels. So we do expect that this will continue to grow during this year and deliveries in coming years. So we said that we – on the marine side, we accept that it is a little bit softer this year than compared to last year. But as you can see, rest of the businesses in Process Automation is actually covering up very well.
Timo Ihamuotila: And I think the second part of the referred to large motors and there must be a bit of a misunderstanding here because there, we actually are seeing a very strong order growth and also a lot of good actions on self-help. So significantly improved profitability in large motors. I mean large motors is part of this medium voltage trend. I’m sorry, I forgot to mention that division in the previous answer, but that business is actually doing well at the moment.
Björn Klas Rosengren: This is actually well worth to notice that this was during last year, really one of our problem divisions. But they have done a tremendous job during end of last year and beginning of this year. And today, we see very healthy profitability also in the large motors. So well done by the team.
Sebastian Kuenne: Very good. And just as a follow-up. Any divisions where you see underutilization at this point in time where you think we might have to do something maybe short-time labor or anything? Maybe the short-cycle business? Or is this all sort of part doing well?
Björn Klas Rosengren: I think, overall, as you know, we have a very healthy order book. So I think they all are quite busy on delivering for the next 12 months. So that – everything depends on how the future goes. But with our operating model, the divisions are fully accountable. So if there is one division seeing softer demand in certain parts of the world, they automatically adopt that suit in relation to that part. So that goes quite seamless today as we won’t run any central kind of things. So we’ve seen in some businesses have in certain parts of the world done some adjustments. And I think they – I mean, let me take just one example and that is a Smart Building. They have had for a year a much softer residential building area. And they have adopted their personnel and their cost structure to this, and they actually deliver a very healthy margin even though there is a softer market. So it’s impressive.
Ann-Sofie Nordh: Okay. Now, Sebastian, I will stop you to move on to the next caller, which is Alex at Bank of America Merrill Lynch. Alex, are you with us on the call?
Alexander Virgo: Hope so. Good morning, everyone. Thanks for taking the call. I wondered if I could just dig into your base order comments a little bit just to make sure we understand the trends. I think if I’m right in my memory, you were up about 3% in Q1. So it is a pretty material decline Q-on-Q. And I wondered if you might be able to give us a sense of the pricing. Is it the same sort of pricing tailwinds in the base of the business? And whether or not you can sort of point on simple differences and whether exactly whether – or what exactly we’re seeing that’s driving that Q-on-Q weakness? Is that the commercial construction weakness that you called out in Europe? Or is it getting weaker? Thanks very much.
Timo Ihamuotila: I didn’t quite get the last question.
Björn Klas Rosengren: That was about on commercial construction that we’ve now seen opening of in China and Europe.
Timo Ihamuotila: Yes. Okay. So thanks, Alex. I guess the first question was in this base order dynamic. So yes, it went down a bit sequentially. And it is driven by these areas, which I mentioned earlier and which Bjorn spoke about as well about, i.e., smart buildings, a little bit on the dry products, a little bit also on the lower voltage motors while large motors are doing really well on the orders. Now when we look forward on the base orders, if I just look at the whole second half, – and of course, the comps are getting easier here, we would actually, for the full second half, I’m not saying how this would sort of pan out quarter three, quarter four, but for the full second half, we would actually expect a little bit base order growth again. So in that sense, that also kind of like gives you a picture that this is a little bit more nuanced. And then on the construction side, so yes, we are seeing a little bit more weakness also on commercial construction. We mentioned China and Germany, while U.S. continues to be actually strong also on that area. And maybe just on these overall numbers that on EL business, I think we spoke about it earlier also about 15%, maybe a little bit less than that is actually residential construction. And then commercial is maybe 20% or something like that. So just that you get the feeler, very difficult to call when this would sort of start to turn. But I think we have a lot of other stuff as Bjorn also discussed where we have a solid growth on orders expected.
Alexander Virgo: Okay, great. Thank you.
Ann-Sofie Nordh: Thanks, Alex. And the next on the line is Andy at JPMorgan. Your line is open.
Andrew Wilson: Hi, good morning. It’s Andy from JPMorgan. I want to ask around the China destocking I guess, dynamics that you’ve discussed. I guess I’m interested by the comments around expected to persist in the Q3 and whether that’s expected to persist in the Q3 would improve in Q4 or whether the visibility doesn’t really allow you to make a longer-term comment? And I guess associated with that, is there any impact that you’re seeing on pricing in that market as a result of the destocking? Thank you.
Björn Klas Rosengren: Thank you. I think when you come to China, you see that the quarter was actually down 9%. But if you actually lift out the robotic part of that business, it’s actually flat. So this shows that the other businesses are actually quite healthy at the moment. Yes, I mean, we’ve heard about China. When we were coming into the year, we maybe had expected some of recovery from after the COVID, which has not occurred, which has been pretty clear. On the other hand, China is a big market. You have a GDP growth between 5% and 6%. We know that the government is keen to drive the GP to towards 6%. So we do expect that there will be certain activities to drive better demand in the market. On the other hand, I think it’s important to know that it’s not that investments have stopped in Asia because even if they’d be a little bit more careful – probably a lot of companies that are being a little bit careful when it comes to investment, and now we see a good increase in other markets like India, for instance, where we see good healthy growth. We saw it last quarter, we continue – we’ve seen in the last five years. So it’s actually becoming a bigger part of ABB. So we think that other markets will pick up some of that maybe growth that could come to China. So I think it will be – Asia will continue to be an important and strong market in our belief. Anything you’d like to add on that, Timo?
Timo Ihamuotila: Well, if we want to sort of go to the China robotics dynamics, which you also mentioned where we mentioned this destocking, so, yes, we said that it would continue to Q3. Very difficult to call sort of how it would go from there onwards.
Björn Klas Rosengren: But I’d just like to say on the robotics business, we think robotic is a very healthy business. We – I’ve said it’s about 15%, and it’s a growth of 10%. And this is actually what we expect in the coming years, a CAGR of around 10% per year. So that can be temporary, maybe a little bit slower, but we are quite optimistic on this business going forward.
Ann-Sofie Nordh: Okay. Let’s do a here from the online option. And it comes from Jonathan at BNP Paribas, and it’s on the e-mobility topic. He says that I understand it is accelerating process of product revamp. Why is this needed? And how long will it take to get the business back on track? And also, will you then return to the plan to list it?
Björn Klas Rosengren: I think first, we can talk a little bit about e-mobility because you can, of course, see that it’s a disappointing part in our results. And we have, during the quarter, a changed management. So we have new management in place. They have reworked a strategy, a little bit more focused product strategy, which have resulted in that we have taken some provision of some inventory, which is affecting the quarter quite negatively. On the other hand, we’ve also seen in certain markets like Germany, where some of the subsidiaries for these kind of equipment have stopped. And that have had, from a short-term perspective some effect. On the other hand, we saw good growth because we had 75% up in orders. So it continues, of course, to grow strongly. But we have things that we must fix inside the company, and I think the new management has made a good plan on that. And I think it will take until the end of the year before we are on track with that business. We have taken in private payments. So we have $525 million in cash to this business. So we have sufficient cash to grow this business and continue to develop in the near future. So the strategy has not changed, but we need to make sure that the business is in good fit and that, of course, the financial market are healthy when it’s time to do it. But it’s no hurry.
Ann-Sofie Nordh: Okay. And then we take a from James at Redburn. Your line is open I hope, James.
James Moore: Good morning. I hope you are all well. Can I clarify answer to Gail’s question, please, on the DS margin? I think you said it’s about 10% now. But I wondered what you thought the potential future is for that. But my real question is on the Robotics & Automation business. Minus $22 million of orders. Could you scale how much was Robotics versus ENR? And specifically, I’m trying to get to pure robotics showing on how much it was down? And really why you think we’ve had this destocking? I got the sense that there was a big EV battery CapEx cycle that might have unwound a bit. Do you think it’s that? And I don’t really understand because it’s a direct business that goes direct to OEMs. Why they would have stock of unprogrammed robots? It’s not a distribution business. So maybe just some understanding on how it works, please? Thanks.
Björn Klas Rosengren: Yes. Let’s start with the robotics a little bit. Yes, you probably remember last year when we had big challenges on the semiconductors and deliveries of robotics. So a lot of orders were placed during this period. And during the year, the supply chain has eased up, and we now deliver full out, and you saw also good growth in revenues from the robotics. So that has been. So many customers that previous year put up a lot of orders have not done this year because they are getting deliveries from that. Then there is a softening on the robotic business, which we believe is temporary because China is today 50% of the world market for robotics. So we do believe that that will continue to drive going forward. But for the moment, and we said for this quarter, we saw weaker, of course, and we also believe that it will stay weak next quarter. And then it’s a little bit – we’ll see how it will be in the fourth quarter if we will see some pick up again, which we actually believe. But the underlying robot market is healthy, and we do believe that robotics – and our position is quite strong. We are a clear number two in the market, and we believe that we have a good chance to deliver good performance there. But there is some destocking, and that is more related to the installation companies. That’s – they are buying from us. So it is a direct business, but it is done mostly through these installation companies who are making the final, let’s say, solution for the end user. So that’s where the destocking is taking place. On the DS, I mentioned that the DS is a healthy margin business. We are seeing DS moving towards the 15%. I think that is good to see. And we – my worry about this division is actually gone. I think we have strong management in place. They’ve taken the right action and we’re seeing a very quick improvement booked, supported by good order book with healthy margins. We can say, look at all our businesses, and we have a strong focus on gross profit you see for the group. Almost a whole improvement of our EBITA margin, operation EBITA margin is driven by improved gross margin. And the good thing is that all our businesses have a strong order gross margin and also order book gross margin, which also will secure good margins also in the business going forward. So DS has gone out of this transition side. Of course, we can do a little bit on profitability. There are a certain amount in U.S. where they can become a little bit better. But I think overall it’s becoming quite a healthy division, which is reflecting on the Electrification business, as you see, reaching 21% profitability for the quarter, which is, I think, definitely in line or better than any of our competitors in the market.
James Moore: Great. Thanks.
Ann-Sofie Nordh: Thanks, James. And we move to Will and open up your line.
William Mackie: Good morning. Thank you for taking the question. It’s Will at Kepler. So my question would be, I think earlier today, you indicated that divisional performance in 70% of the divisions is in a growth phase, suggesting 5% or 6% below target. Maybe my question would be identifying where the upside opportunity is from the continued turnaround of the businesses still in repair mode. But more specifically, could you talk about the success in Measurement & Analytics and whether that is now above the overall process segment and also the opportunity and how it continues within Large Motors and Generators? And lastly, drives is – can drives continue to expand margin? It must be well above the business area average. Thank you.
Björn Klas Rosengren: Yes. Thank you. I understand the s are very much related to the businesses which were underperforming. And I think we’ve seen that this quarter, many of these businesses have improved dramatically and very much is related to healthy order book also on the medium voltage part of the business, which is System Drives. It is Large Motors and generators with healthy margin. I think that’s really nice to see. And it is also the DS business there. So that’s being supported well. And as I mentioned, this business now is actually running at 16% margin, so above what is the 15% target that we have set for that. So that’s quite healthy. But this quarter, more or less all our divisions were actually delivering a good performance. And yes, I’d like to underline the Measurement & Analytics. This, for a couple of years ago, was one of our crisis business. We got new management in place, they put a new structure into that decentralized one with a very strong focus, both on the instrumentation but also on the analytics, which was healthy from the beginning. And even if I wouldn’t say it, but the business has delivered over 20% margin during this quarter. So I’m very happy for them and they have done a fantastic job. So it’s quite remarkable. So I would say that this quarter, more or less, every division delivered good. But, of course, there are some that need to focus a little bit. But it’s not enough that you do 1 quarter on this level. It means also you have a sustainable performance on this level to be upgraded towards growth. But if we run it like we’ve been doing today, more or less, all our division would have been in growth mode. So I think we have a good potential if they continue to deliver up to that. There are some, of course, divisions that are over delivering margin also, which you said. Maybe some of them that could be difficult to keep on the level where they are. We still believe that these are healthy businesses and we’ll continue to deliver and they should be focusing on growth. And that’s, of course, we want to grow ABB. And these best performing companies, we want them to grow fastest. So yes, I think it’s going to keep up on a good level, both for the group and for the individual businesses.
Ann-Sofie Nordh: Okay. Thanks, Will. And then we move to Martin Wilkie at Citi.
Martin Wilkie: Good morning. It’s Martin from Citi. Just one question from me. You’ve called out data centers as being positive on orders in Electrification, which I think is a bit more positive than some of your competitors in that space. And just to understand, even though there’s lots of talk about how artificial intelligence can drive data center growth over time, what you saw in the quarter given that that’s also a market that had a very good year last year and therefore we could have expect some slowing. Just to understand what you’re seeing in data centers. Thank you.
Björn Klas Rosengren: Yes. Data center is an important segment for us in not only in Electrification, also in the Motion business, which we’re driving. Today, we are close to $1.3 billion in size of what we are supplying into the data centers, and we’re seeing a good double-digit growth in this business, and we believe that it will continue. So we actually have a lot of products and solutions and services that we deliver today. You want to add something?
Timo Ihamuotila: Well, maybe just when you mentioned the Motion. So there is, of course, a lot of cooling going on. And for example, these new products on this sort of combined motor drive is something which is definitely a data center specific product. So as Bjorn said, this is really not only coming from Electrification but it’s really a broader offering. Also, some of these bigger data centers going to also need automation for the whole electrification piece.
Martin Wilkie: And would you – are you overweight larger data centers and that’s perhaps driving the growth? Or are you more exposed to hyperscale or more broadly spread across the business horizon?
Björn Klas Rosengren: I think we are both small and hyperscalers. So we are in many of them. But for us, this is a healthy business. So it’s not a margin pressed business for us. We are delivering a good margin to this industry.
Ann-Sofie Nordh: And there I’m going to stop you here, Martin. Maybe this time we’ll actually squeeze all in if we stay disciplined for the remaining few minutes. Guillermo, you’re next in line, please.
Guillermo Peigneux: Good morning, everyone. Thank you, Ansi. Thanks, Timo and Björn. Maybe first question to Timo. I think I heard your comments for industrial automation, Process Automation when it comes to the margin development. You said sequentially, the margins will be down. But typically, actually, Q3 tends to be above Q2 seasonally. So I was wondering whether you could clarify or give some color on that. And then I have a second, maybe to Bjorn. I’ll stay back and then I ask later.
Timo Ihamuotila: So I think we said also depending on mix. As Bjorn said, there were some very, very high margin performance. So we had super mix now in PA. Let’s see how it moves forward. Also, you mentioned that there could be more volume leverage. As you see from our revenue commentary and you look at the previous kind of like comparable revenue, maybe it could be even a bit down, so maybe a bit less volume leverage. But of course, we expect healthy performance in Process Automation for Q3, but those are the sort of puts and takes.
Guillermo Peigneux: And then maybe to Bjorn or Timo regarding the subsegments of Process Automation. LNG and Electrification was one of the key segments or two of the key segments driving growth. And I wonder whether you could clarify or give some color on how those verticals are progressing in terms of tendering activity and demand.
Björn Klas Rosengren: Yes. I think the underlying – the Process Automation is in a very good spot, and it’s driven by a lot of this transition that I talked about towards sustainability. So a lot of these projects are being done. I mean, we have it in new green technologies like hydrogen, in batteries, in LNG terminals, electrification and so on. So there is a lot of activities. And of course, it can be a little bit bumpy between the different quarters. And we – I think this was only 6% this, but we had a huge growth in last quarter, and we believe that it will continue to grow very well because there’s so many exciting projects in this area where we are well positioned. So it’s actually both energy security side as well as this energy transition where we are benefiting at the moment. So we are optimistic about it. And the good thing is – and the only way that we can, of course, look at the expectation for the future is that we see that the order book is quite healthy when it comes to gross margin.
Ann-Sofie Nordh: Thank you, Guillermo. And we open up for Alessandro at Octavian. Are you still with us, Alessandro?
Alessandro Foletti: Yes. Thank you. Hello. Can you hear me?
Ann-Sofie Nordh: Yes, we can.
Björn Klas Rosengren: We can hear you. Yes.
Alessandro Foletti: Great. Thank you very much for the time. I have a question on the outlook of the economic cycle. Last year, we were talking a lot about recession. You mentioned that you have some scenarios, good trend or, let’s say, bad or worse or whatever. Can you give an update there what you are doing? If you have upgraded them, what kind of contingent measures you have in the drawers? And also, if you have some sort of rock bottom levels for the margin that you would expect the division to deliver in case of a downturn?
Björn Klas Rosengren: Thanks for the question, I think it’s good. Yes, it’s quite comic in a way. I mean, when we were standing here 12 months ago, we were all saying now the downturn is going to come, and we have done a scenario planning with our division, so they are well prepared. We were a little bit wrong at that time, and it’s been quite unhealthy year when we see from orders. And you, of course, see our order book has grown even further compared to before. And also now with good deliveries, and we’ve seen a really healthy growth for our businesses. So today, we have even a bigger order book than we had a year ago. Of course, when you look forward, there are clouds in the market, that is pretty clear. We hear about China, all these things. So yes, our divisions have updated all their contingency plans. This is part of how you run a division today. So we ask them to look over a different kind of scenario. So some of the divisions might get some headwind and some of them will continue to grow fast. So there will be different actions in different divisions. And certain divisions are more resilient than others, and that’s what they need to work with. This is actually part of the way they drive their businesses going forward. But I think the order book gives a certain amount of security for deliveries during the next 12 months. But, of course, you never know. We always plan for the worst and hope for the best, and we’ll let the businesses do what they can. And so far, they have surprised us during the last four quarters, and we’ll see how the future will be.
Ann-Sofie Nordh: Okay. And we’ll finish off with a, I guess, a favorite topic for you, Timo. We’ll end up with a cash, on the cash topic. And Ben from Morgan Stanley is asking about the net working capital development in the quarter and also how you see that pan out for the rest of the year and the implications that may have.
Björn Klas Rosengren: I think that was an expected.
Timo Ihamuotila: Yes. Thanks for the question. So yes, it’s true that we tied a little bit of net working capital. But actually, when we then look at the components, so actually, if you look at receivables, they have grown exactly in line with revenues. And when we look at the inventory, it actually is exactly in line with the order backlog. And actually inventory-to-order-backlog ratio continues to go down a bit. So it was at top 30, now it’s 28. So we are not seeing any sort of surprising dynamics, and we expect that this will now start to improve going into the latter part of the year. So we spoke about this earlier, i.e., if we would get to those sort of 11%, 10% levels, let’s see how it goes to revenue or net working capital, then we should have a free cash flow, which is, sort of, there or there about close to $3 billion or $2 billion point high something. We’ll see how it sort of comes through. But there is no sort of issue in those numbers at all, and we expect a strong cash performance for the year.
Ann-Sofie Nordh: Thank you. And that rounds off today’s session. Thanks for spending the time with us, and we wish you a nice summer break if and when you get there.
Björn Klas Rosengren: Thank you.
Timo Ihamuotila: Thank you.